Operator: Ladies and gentlemen, good afternoon. At this time, I would like to welcome everyone to QuickLogic Corporation's Second Quarter Fiscal 2023 Earnings Results Conference Call. As a reminder, today's call is being recorded for replay purposes through August 22, 2023.  I would now like to turn the conference over to Ms. Alison Ziegler of Darrow Associates. Mr. Ziegler, please go ahead. 
Alison Ziegler : Thank you, and thanks to all of you for joining us. Our speakers today are Brian Faith, President and Chief Executive Officer; and Elias Nader, Senior Vice President and Chief Financial Officer.  As a reminder, some of the comments QuickLogic makes today are forward-looking statements that involve risks and uncertainties, including, but not limited to, stated expectations relating to revenue from new and mature products, statements pertaining to QuickLogic's future stock performance, design activity and its ability to convert new design opportunities into production shipments, timing and market acceptance of its customers' products, schedule changes and production start date that could impact the timing of shipments, the company's future evaluation systems, broadening the number of our ecosystem partners; and expected results and financial expectations for revenue, gross margin, operating expenses, profitability and cash.  Actual results or trends may differ materially from those discussed today. For more detailed discussions of the risks, uncertainties and assumptions that could result in these differences, please refer to the risk factors discussed in QuickLogic's most recently filed periodic reports with the SEC. QuickLogic assumes no obligation to update any forward-looking statements or information, which speak as of the respective dates of any new information or future events.  In today's call, we will be reporting non-GAAP financial measures. You may refer to the earnings release we issued today for a detailed reconciliation of our GAAP to non-GAAP results and other financial statements. We have also posted an updated financial table on our IR web page that provides current and historical non-GAAP data. Please note, QuickLogic uses its website, the company blog, corporate Twitter account, Facebook page and LinkedIn page as channels of distribution of information about its business. Such information may be deemed material information, and QuickLogic may use these channels to comply with its disclosure obligations under Regulation FD.  A copy of the prepared remarks made on today's call will be posted on QuickLogic's IR web page shortly after the conclusion of today's earnings call.  I would now like to turn the call over to Brian. Go ahead, Brian. 
Brian Faith : Thank you, Alison. Good afternoon, everyone, and thank you all for joining our second quarter fiscal 2023 financial results conference call. As noted in the press release issued after market close, our second quarter 2023 results were negatively impacted by the timing of the award for the next phase of a large eFPGA contract announced last year. The first phase of the contract, which was $6.9 million has been completed successfully. I am pleased to share that this next phase with a total value of $15 million is now in place and will begin generating revenue this quarter with revenue extending into 2024. This second phase is the same total value, revenue recognition timing and duration we had been expected to finalize during Q2.  With the receipt of this new contract and new business and other end markets that we are rapidly converting from our sales funnel, we remain on track to grow total 2023 revenue by more than 30% over 2022. We also believe we will report non-GAAP profitability for Q3 and Q4 as well as non-GAAP earnings for the full year 2023.  With that opening, let's get into the details. On the continued strength of our numerous eFPGA IP based opportunities, including a portion of the Strategic Rad Hard FPGA program, our sales funnel grew to over $140 million, the largest in QuickLogic's history. Included in this number are deals for both eFPGA IP as well as being a storefront for semi-custom FPGA development that incorporates our eFPGA IP. These deals span numerous foundries, process technologies and end markets.  One of our unique strengths continues to be that we offer a full spectrum of solutions ranging from eFPGA IP all the way to full chip designs, which incorporate that IP. As a reminder, we have multiple revenue sources within this product category. The primary ones being design services, IP licenses, royalties and finally, device sales via our store fund. Design services is how we monetize the R&D resources to develop our IP or bespoke devices for our customer, typically recognized as we do the engineering work. IP licenses are typically onetime events recognized with the delivery of our IP to a customer. Royalties are typically a percentage of the final device ASP and the value contributed by our IP that is recognized as our customers ship devices that include our IP. And finally, storefront simply means that our customer is buying a finished devices from us that is designed to their specifications.  In doing so, we enhance and expand our customers' capabilities by providing additional expertise and depth as well as access to the supply chain we have had in place for decades. More than ever before, the fact that we have been a trusted and reliable supplier of FPGA devices is one of the many reasons why we are winning opportunities to be more than just an IT provider.  In November of 2022, I shared that we have taped out a new device for a customer that incorporates our eFPGA IP. Revenue from the shipment of these test chips to our end customer was recognized during Q2. Additional engineering work with this customer is ongoing, and we continue to recognize revenue each quarter associated with this design. Due to confidentiality requirements, I can't share any further details on the specific design win other than I believe it represents tens of millions of dollars in potential device revenue starting in a couple of years.  As mentioned on our previous call, one of the contributors to our pipeline growth is a new government-focused eFPGA IP based contract targeting a 12-nanometer process node. This is our first contract for the 12-nanometer process node. We recognized initial revenue from this contract in Q1 and expect to recognize additional revenue throughout 2023. Furthermore, during the previous call, I mentioned that we believe this contract was our first of several during this fiscal year. In fact, we now have multiple new opportunities for our 12-nanometer eFPGA IP totaling several million dollars.  Moving to SensiML. As we mentioned last quarter, the top-tier semiconductor company that is integrating a private label version of a sensible powered solution to address its customers' demand across its broad line of microcontrollers is nearing their product launch. This private labeling of the SensiML toolkit provides significant revenue potential as a result of the company's large installed customer base and sales force.  While we remain conservative on what this could mean for QuickLogic, we believe it has the potential to move the needle. As I have noted in the past, this is not an exclusive relationship, which means our engagements with other microcontroller companies will continue.  Moving to chiplets. We continue to see customer interest in an eFPGA enabled chiplet. We plan to issue a press release in the coming weeks related to a specific collaboration on an eFPGA enabled chiplet with a partner company, targeting the edge IoT and AI markets. We expect to generate initial revenue this fiscal year from chiplet related design services and/or IP licensing.  Concerning our mobile phone business. Much like other semiconductor suppliers to the mobile market, we are still seeing softness in demand, likely through the end of this fiscal year. However, we anticipate a rebound once inventory is balanced as we have been informed that our EOS S3 will be used in new smartphone models that will ship well into 2024.  Finally, we are forecasting flat revenue in our display bridge and mature product segments for Q3 with slight improvements forecasted for fiscal Q4. Before turning the call to Elias, I want to reiterate our revenue outlook for Q3 and the remainder of fiscal 2023. Despite the pushout of revenue from the second phase of the eFPGA IP contract we mentioned earlier, we expect its revenue contribution and the accelerated conversion of our diverse and growing pipeline to fully offset the shortfall in Q2 revenue. This emboldens our confidence that we are still on track to report greater than 30% annual revenue growth that we discussed earlier in the year. We are also still on track to turn the corner to profitability starting in the third quarter of this year and based on our current forecast, we expect to report substantial full year earnings for fiscal 2023.  Let me now turn the call over to Elias for a review of the financial results. Elias, please go ahead. 
Elias Nader: Thank you, Brian, and good afternoon, everyone. Our performance in Q2 was below our expectations with revenues of $2.9 million and a non-GAAP net loss of $1.7 million due to the timing in the execution of the contract Brian mentioned. With this contract in place and the accelerated conversions of opportunities in our sales funnel, we continue to believe we will grow our revenue by more than 30% in fiscal 2023 and report non-GAAP profitability for the last two quarters as well as full-year 2023. Let me now review the results for the second quarter. As I said, revenue in Q2 was $2.9 million, a decrease of 29.3% compared with the first quarter of 2023, and a decrease of 35.7% compared with the second quarter of 2022. Within our Q2 revenue, sales of new products were approximately $2.2 million. This compares to $3.1 million last quarter down 26.9% and $3.1 million in the second quarter of 2022, down 28.7%. Mature product revenue was approximately $0.7 million compared to $1.1 million last quarter and $1.4 million in Q2 last year. Non-GAAP gross margin in Q2 was 44.2% compared with 59.7% in the first quarter of 2023 and 58.6% in the second quarter of 2022. The decline in gross margins from the first quarter resulted from the lower revenue base and a change in the mix of deliverables within eFPGA-related revenue to a higher percentage of professional services. Non-GAAP operating expenses in Q2 '23 were approximately $2.9 million. The OpEx for Q2 was in-line with our prior guidance due to continued discipline in expense controls. This is approximately flat with operating expenses of $2.9 million last quarter and $2.8 million in the second quarter a year ago.  Non-GAAP net loss was $1.7 million, or a loss of $0.12 per share, based on 13.7 million shares. This compares to a net loss of $0.5 million or $0.04 per share last quarter, and a net loss of $47,000, or essentially $0.00 per share, in the second quarter of fiscal 2022. Total cash at the end of Q2 was $20.6 million, compared with $19.2 million at year end. The continued investment to support the new design wins we have discussed was offset by the approximately $2.3 million raised in March at near-market rates from existing shareholders. Additionally, timing considerations related to cash receipts from customers contributed to a net higher utilization of cash from operations. In Q2 2023, we had three customers that each accounted for 10% or more of our revenue.  Now moving to our guidance for the third quarter of fiscal 2023, which will end on October 1, 2023. Revenue guidance for Q3 is approximately $6.5 million, plus or minus 10%, due to the reasons Brian already outlined. Revenue is expected to be comprised of approximately $6.0 million of new products and $0.5 million of mature products. Based on this revenue mix, non-GAAP gross margin for the quarter will be approximately 75%, plus, or minus 5 percentage points. We will continue to see margin variances each quarter due to product mix and volatility in cost of goods sold. Our non-GAAP operating expenses will be approximately $3 million, plus or minus 10%. On a quarterly basis, during 2023, we believe OpEx will remain below the $3 million range with occasional increases to support new programs.  After interest expense, other income and taxes, we currently forecast that our non-GAAP net income for Q3 will be approximately $1.3 million to $2.2 million, or a net income of $0.09 to $0.16 per share, based on roughly 13.9 million shares outstanding. The difference between our GAAP and non-GAAP results is related to non-cash, stock-based compensation expenses. In Q3, we expect this compensation will be approximately $0.8 million. As a reminder, there will be movement in our stock-based compensation during the year and it may vary each quarter based on the timing of grants to employees. Moving to the balance sheet. Even with continued investment to support the new design wins that we have discussed and the timing of certain expenses and anticipated customer receipts, at the midpoint, we expect cash usage to be below $1.4 million this quarter. As we stated earlier, with the new, large design wins and overall momentum in our business, and a lean operating structure, we should see sequential improvement in revenue in the back half of the year leading to positive non-GAAP earnings.  Thank you. With that, let me now turn the call back over to Brian for his closing remarks.
Brian Faith: Thank you, Elias. I am incredibly excited about our progress and the momentum that we are building. We believe this increasing momentum and growing pipeline will drive sustainable revenue growth and our highly scalable operating model will ensure that revenue falls efficiently to our bottom line.  The $15 million contract we recently finalized is the largest contract by far in the history of QuickLogic. However, that is just a part of the story for the second half of 2023 as important to our sustainable growth is the acceleration of conversions of our sales funnel opportunities into new contracts.  This will further drive revenue growth and end market diversification. I would like to again thank all our key stakeholders, including investors, customers, suppliers and most of all, the QuickLogic and SensiML teams for their continued support.  That completes our prepared remarks. Operator, I would now like to open the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Martin Yang with Oppenheimer. 
Martin Yang : First question for Brian is, is there any other contract push out or delay of revenue recognition in the second quarter aside from the second phase of one very large contract? 
Brian Faith : No, this is the only one, Martin. 
Martin Yang : Got it. Second question regarding this contract particularly is do you expect pretty steady roll of revenues coming from this one in the next few quarters? Are they going to be recognized pretty equally are steadily in the next couple of quarters. 
Brian Faith : Yes. I think the visibility we have on the contracts is that it's -- I'll call it steady revenue. We're not going to say exactly the number of quarters that it's active for because of the nature of the contract, we're not allowed to discuss that, but it will provide a steady flow of revenue that we can recognize across that period, which led into our confidence in going out in saying not only the Q3 revenue guidance, but also the outlook for the remainder of the year being solid. 
Martin Yang : And the last question from me is your view on the display bridge and smartphone revenue exposure, has your visibility or expectations changed versus the last quarter? 
Brian Faith : Yes. I think last quarter, when I talked about smartphone, we thought maybe they would go through the inventory digestion completely, and we can start to see some recovery in Q4. I think now we'll see that their digestion is going to take the remainder of the year. They are still taking product from us because they don't have an inventory of all the SKUs. So we are shipping some devices for revenue today, in fact. But we think that the recoveries is probably going to take until the end of the year. And like I said, we're designing in new models. So once they do digest everything that are needed for those new models, then we're going to start shipping for those as well. And so that visibility is there. That's on the smartphone side. You also asked about display bridge which are largely different markets.  So on the display bridge, it's essentially what I'll call, more like a cash cow opportunistic business. So as we get new design opportunities, we can fulfill them from inventory which tends to be a benefit for some of these customers. And so from last quarter, our outlook hasn't changed. In fact, we've recently had opportunities, new ones come into the funnel for the display bridge for more consumer-oriented products, and we're engaged in those opportunities because we do have that inventory position. But I think from a macro level, my outlook has not changed on the display bridge. And as we grow these other parts of the business, like the embedded FPGA, the display bridge is going to become a smaller and smaller percentage of the total, and that's a good thing. 
Operator: Our next question comes from the line of Rick Neaton with Rivershore Investment Research. 
Rick Neaton : In talking about this new phase of the contract, is that $15 million included in the $140 million funnel that you described in the press release and your remarks? 
Brian Faith : No, that's a good question, Rick. I didn't cover the puts and takes of that. So the $140 million is a net value of the funnel. And I think I've said publicly is what things are in there was not all of the larger eFPGA contract, some percentage of it was. And so as we close this $15 million, that comes out of what was the $125 million funnel, which means we had to add quite a bit more to get to net $140 million. And in fact, we have done that. So there's been quite a bit of addition in this last quarter to the funnel so that it is net $140 million, taking into account this $15 million moved from funnel into booked business at this point. 
Rick Neaton : So there was approximately a $30 million addition to the funnel and then a $15 million approximately subtraction for this new contract. 
Brian Faith : Yes. Exactly. 
Rick Neaton : Is this contract front-end loaded, so you can recoup in Q3 the revenue that you didn't get in Q2? 
Brian Faith : It's not front-end loaded. It's spread across the term of the contract. So don't think of it as a recoup in Q3. Think of it that this was the Q3 number we essentially had planned to be in place and the contract just shifted the time line. So the start of it shifted, and so the end of it also shifts, which means more revenue in the future as well. So that's the way to think about it like a sliding window as opposed to switching into Q3. This Q3 number is what we thought we were going to be doing before with the contract already in place prior. 
Rick Neaton : Okay. And so your Q4 number is going to be about the same to the way it looks now from this contract. Is that what you're saying? 
Brian Faith : Yes. We have a very good idea of what Q4 is going to look like and also into 2024, what that will look like from this contract, which is all factored into, again, why we are affirming on this call expectations for full year profitability and greater than 30% revenue growth because now we have the visibility of that in an actual executed contract. 
Rick Neaton : So if I'm processing your numbers, that means you have another $2 million approximately of revenue that you expect to receive in the second half to replace the approximately $2 million of revenue you expected to receive in Q2. Is that what you're saying? And that this is coming from the accelerated sales funnel and not from the contract. Is that what you're saying? 
Brian Faith : Yes. We have other things that are replacing that $2 million that shifted out of Q2. Our internal model actually was higher than what we had given as an outlook on the last call. So we had buffer in there to account for anything like this that would happen, which is why we didn't have to change the 30% or greater than 30% number.  So there are other things besides the large eFPGA contract, we just talked about the $15 million one that are also contributing to revenue growth in the second half of this year. 
Rick Neaton : Now in terms of what you mean by substantial non-GAAP profitability, are you seeing something along the line of Q3 times 2 offset by the non-GAAP net losses in the first half. Is that basically what you're saying? Can you give a little more color on what you mean by substantial? 
Elias Nader : Well, we don't want to dig deep into the year, Rick, but I'll tell you this, just look at it this way, we missed Q2 for sure, mainly because of that particular one contract we're counting on. What you look at is the second half will be profitable on a non-GAAP basis and the EPS would be substantially better than the first half. So I don't think you should be calculating looking at that 2 times the third -- or 2 times 3. I think it's more like probably one of the key times that the company will stand out and say it has made GAAP profitability, I mean, non-GAAP profitability in Q3. 
Rick Neaton : Right. But you said substantial non-GAAP profitability for the full year. 
Elias Nader : Well, when you look at -- that's why I'm saying when you compare the second half to the first half, of course, it’s substantial, because the first half is losses. So full non-GAAP profitability is a huge step for the company, especially a company our size. 
Rick Neaton : Okay. So what you're saying, is it something -- go ahead. 
Brian Faith : Let me just put it in my own words here. The EPS for the year, we're forecasting to be not just $0.01, not just the $0.05, something north of that for the year. Correct me if I'm wrong, Elias. 
Elias Nader : Yes. 
Rick Neaton : One last question about the balance sheet, Elias. There's a big increase in property and equipment of $1.7 million between first quarter and second quarter. Can you provide some detail on that? 
Elias Nader : You mean on the statement of…? 
Rick Neaton : Balance sheet. No, on the asset, on your assets. You appear to have bought a lot, you appear to have bought $1.7 million of some assets. Can you... 
Elias Nader : Yes. Yes. Well, these assets -- well, let's put it this way, this is a classification change, okay? What it is, is that when you buy an asset, a tool, for example, or software, and you bring it to the company to be worked on. When that thing is fully functional, you, as a company, under GAAP rule, can basically classify that as some assets over a certain period. So if you remember, back when I joined 1.5 years ago, I've been saying this every quarter that many of our classifications are changing or could be up and down, mainly because of this sort of classification.  And now we believe that what we're doing is a correct thing, right? Based on the gap, again, you can classify these particular tools as an asset. That's why we see that big difference. We didn't go out, I'd take $1.7 million and bought something that cost $1.7 million, but the total assets of these tools/working software are not classified as an asset. 
Operator: Our next question comes from the line of Richard Shannon with Craig-Hallum. 
Richard Shannon : Let's see, a couple of questions maybe following up some prior ones here. I may have missed part of your responses and some questions earlier that I was trying to work through my model here. But to get 30% growth you're hitting the third quarter revenue number implies a decent growth here like in the range of $7.5 million for the fourth quarter. And I guess I thought I heard a question earlier suggesting it was flat. And I thought my math sounds right here. So am I doing the math right here that the fourth quarter revenues, you're seeing at least $7.5 million. 
Brian Faith : I don't think we're trying to imply flat revenue in Q4. It's -- we're forecasting sequentially up for Q3 so that we can achieve a greater than 30% a year. 
Richard Shannon : Okay. That's what I was calculating too. So I just want to make sure on that one. So your question on the pipeline. And Brian, I appreciate your response to one of the prior questions here about the $15 million contract taken out of the pipeline you're adding in that $30 million. So I wonder if you could characterize the additions to this -- I'm assuming most, if not all of it is related to embedded eFPGA or maybe some chiplets in there. But also if you could characterize as agree to which it is IP licensing royalties versus any storefront additions. 
Brian Faith : So firstly, we don't forecast any royalties in our sales pipeline. So zero of the 140 million or anything prior is related to royalties. The new things that we were adding into the funnel since the last call, there's one specific design that would involve being a storefront for an FPGA type device for the industrial market. There is another one for the defense market. There is a handful of embedded FPGA IP opportunities. I would say the mix is probably half defense and half nondefense. And these also include several different process technologies. Most of the ones actually are covered by what we already have today. From a supportive foundry process perspective or in design at this point. And then there is some new opportunity coming in from -- as part of that 140 million from the device side of the business. Martin was asking about display bridge and so some of the opportunity coming on the consumer is falling into the display bridge for that. But again, not a very large percentage of that increase is from the display bridge, it's really highly driven by all these different FPGA IP deals. There.  Is interest in a chiplet in part of that growth, which is why we felt like it's the right time to put out press release with a company that we're intending to collaborate within that front. That way we can talk with more customers about it without getting under NDAs. And then lastly, there is SensiML as part of the funnel growth, but again, since the magnitude of a SensiML contract is not the same scale as these 6- and 7- and now 8-digit eFPGA goes, the SensiML part of the funnel is not the big part of the growth, it's really the other aspects of the business. 
Richard Shannon : Okay. And just to clarify, I'm not sure if it was implicit in how you described some of these pieces here, but is there anything related to the 12-nanometer opportunities you're talking about? 
Brian Faith : Yes. There is. There were: a, there was one port that we're doing now that we're intending to wrap up this quarter for 12-nanometer for an elite customer. And then since the last call, we've had multiple come in on 12-nanometer, new ones that we believe we can close and actually have contributed to revenue in this calendar year -- excuse me, this fiscal year as well. And I intentionally being vague on foundry when I'm answering these questions around 12-nanometer. But definitely, there's been some movement on 12-nanometer in the last quarter, positive movement. 
Richard Shannon : I appreciate you're giving you some clues to what you're thinking about for the fourth quarter. So true to form here, I'll kind of push the envelope and have you maybe chat a little bit about next year. And I think what most people are interested in seeing you consistently profitable. It sounds like the funnel additions here look very nice, but I'd love to hear your thoughts on the great confidence you have you're going to be sustainable growth and growing and be profitable next year or each quarter next year? 
Brian Faith : So I'm highly confident in that, Richard. And the reason is because now that we're closing these larger opportunities into contract stage, we can now start to see more of a layering effect so that we're doing multiple of these things in parallel so that you actually can see that revenue growing and growing every quarter. I want to emphasize that the $15 million defense contract is great. It goes into some point in 2024. We fully expect that's going to be continuing beyond that. But there's going to be other things that are layering on top of that like these 12-nanometer ones and some of the other ones I said in the funnel. And at some point next year, we'll start to see other things kick in to contribute to revenue like royalties from the designs that we had won previously. And so with all of those opportunities in the funnel and the rate at which we're hitting these, that's what's giving me the conviction that we will be sustainably profitable once we cross the threshold. As you know, I've been waiting a long time for this as I know investors have with this profitability moment and it's our intention and our plan and our forecast to stay there. 
Richard Shannon : And the last question, I'll jump on the line here. I think Elias and maybe there's a question for both of you, Elias. I think you talked about OpEx kind of in the $2 million number with potential, I don't know, bubbles for potential future projects here and obviously getting the profitability and a good growth outlook suggests you might open to pick it up a little bit at some point. Just can you just talk about the magnitude of what you may be thinking there and over what time period we might see that? 
Elias Nader : I don't think we'll see it in 2023. I think we're going to keep about $3 million or so in OpEx a quarter. I think next year, we will see it when we start growing with people, a different location where we will hire engineers, investment on the business of software or tools that we need to buy, right? You basically use your cash to do smart buys. In this regard, I would say even if we get to $3.5 million OpEx, which would require us to hire a lot of people. We are still profitable, Richard. So I'm not worried about it yet, about the increase in OpEx. I see that coming sometime next year, maybe where it goes up to maybe $3.3 million, then $3.5 million and stays around $3.5 million for a while and then that's about it. So no rushing for spending. 
Brian Faith : And I'll add a little bit of color to that. Sorry go ahead.
Richard Shannon : No please go ahead, Brian.
Brian Faith : So the color I'd like to add on that is that just in terms of philosophy. As a philosophy, we always look to outsource certain things until a task or a role is needed on a full-time basis. And so we have been hiring, in fact, recently in the last six months or so for very specific roles, very sort of rifle-shot approaches to roles that we know will increase our capacity to do more or will increase the sales funnel at a faster rate, okay, in terms of efficiency.  And so we have made those hires. There's a role that we're hiring for right now. If you look at our Careers page for sales manager for the United States for North America. And a lot of that is coming from the fact that we think we have the recipe now to engage and close these IP deals, especially and grow the funnel. And we're at the point now where we have so much coming in, we know that we need to hire more of the sort of frontline people like a sales manager to close and expand that even more. And so that's just the extra color I want to make since everybody is aware, yes, we're going to hire. It's built into the OpEx model, and I think we're very careful about choosing the right people location and everything to make sure that it is contributing towards the sustainably growing future.  And then one other thing I'll just add to that is there's sort of this notion of operating leverage, which is around how much gross margin or how many gross margin dollars are you generating for every dollar you spend of OpEx. And I think if you look back in that, this, in our investor deck, a couple of months ago, we were charging this, so people could actually see the high degree of leverage we are getting from our operating expenses.  And I think it will be really nice to see that chart continuing like what we are announcing now for Q3 and for the year and for next year to just continue to see that stay above the one, which is what you want to be where you are definitely generate more gross margin dollars than you are spending on the OpEx side. 
Operator: Ladies and gentlemen, that is all the time we have for questions. I would like to turn the floor back over to CEO, Brian Faith, for closing comments. 
Brian Faith: I want to thank you for participating in today's call and for your continued support. We look forward to speaking when we report our third quarter fiscal 2023 results in November. We will be attending the following conferences over the next few months, including presenting at the Trusted and Assured Microelectronics Awareness Day in McLean, Virginia later this week, Jefferies later this month, H.C. Wainwright on September 12 and Craig-Hallum on November 16. Have a great day. Thank you. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.